Operator: Good morning. My name is Fia and I will be the conference operator today. At this time, I would like to welcome everyone to the Welbilt, Inc. 2021 Q1 Earnings Conference Call. [Operator Instructions] At this time, I would like to turn the conference over to Rich Sheffer. You may begin, sir.
Rich Sheffer: Good morning and welcome to Welbilt’s 2021 first quarter earnings call and webcast. Joining me on the call today is Bill Johnson, our President and Chief Executive Officer and Marty Agard, our Chief Financial Officer. Before we begin our discussion, please refer to our Safe Harbor statement on Slide 2 of the presentation slides and in our earnings release. Both of which can be found in the Investor Relations section of our website, www.welbilt.com. Any statements in this call regarding our business that are not historical facts are forward-looking statements and our future results could differ materially from any expressed or implied projections or forward-looking statements made today. Our actual results may be affected by many important factors including risks and uncertainties identified in our press release and in our SEC filings. We do not undertake any obligation to publicly update or revise any forward-looking statement, whether as a result of new information, future events or other circumstances. Today’s presentation and discussion will include both GAAP and non-GAAP measures. Please refer to our earnings release for our non-GAAP reconciliations and other important information regarding the use of non-GAAP financial measures. Please note that we will only be providing prepared comments on today’s call and will not be conducting a question-and-answer session. Now, I would like to turn the call over to Bill.
Bill Johnson: Thanks, Rich and good morning. I will start by simply saying I am excited by the pending Middleby transaction. But beyond that, I won’t address it today as we continue to run our businesses independently. Before we get into our first quarter results, I want to share some details on the current market environment. Looking at the MillerPulse weekly same-store sales graph on Slide 3, you can see the recovery in the restaurant market since the historic drop that began in the second week of March 2020. QSR same-store sales have consistently been positive since early July. Most QSRs had more than 50% of their sales come through their drive-through windows prior to the crisis and now are also embracing delivery. As a result, they have been more resilient than casual dining restaurants who pre-crisis saw the majority of their sales tied to dine-in traffic. Same-store sales at casual dining restaurants began the quarter down 25% to 30% compared to the prior year and gradually saw the comparisons improved through mid-March when they lapped last year’s shutdowns. MillerPulse has now switched to presenting same-store sales comparisons to 2019 in order to show how sales are recovering relative to pre-COVID periods. As the chart shows, both QSRs and casual dining are positive through mid-April, following the latest government stimulus checks. We expect conditions to gradually improve for casual restaurant operators as temperatures are warming up enough to allow outdoor dining in colder areas and more and more people are getting vaccinated. The National Restaurant Association’s and Restaurant Performance Index rose to 100.1 in February. First time, it has reached 100 since the pandemic began and to 105.1 in March. Within the overall index, the capital expenditures component within the current situation index increased to 101.6 after being below 100 the prior 2 months. Likewise, the capital expenditures component within the expectations index remained healthy at 102.7. While the NRA is cautious to say that it doesn’t mean the industry has recovered and returned to normal growth, it is indicative of the improving conditions that were reflected in our first quarter results in the Americas. In EMEA, most countries still have restrictions on dining away from home, but more allowing takeout and delivery compared to last spring. Market expectations are that most of these restrictions will start to be eased through the second quarter. We have already seen the UK begin their phase reopening as they have aggressively vaccinated their population. And France has now announced plans to reopen cafés and restaurants on May 19. In APAC, there is a split between countries that are operating with few and no restrictions like China and Australia and those that are still significantly impacted by the pandemic, primarily Southeast Asia and India. These countries will likely trail in the recovery until the global distribution of COVID vaccines improves. Moving on to Slide 4 of our presentation to review our financial results, our net sales declined 3.7% in the first quarter with organic net sales decreasing 6%. The pace of recovery really picked up later in the quarter with March being the highest order month we’ve had for any month in the Americas since our spin-off in 2016. With sales still down year-over-year, and we delivered an adjusted operating EBITDA margin of 15.7%, which is a 190-basis point increase from last year’s first quarter. Adjusted diluted net earnings per share, was $0.08 compared to $0.01 in last year’s first quarter. Along with the increased margin and EPS, our first quarter free cash flow was significantly smaller use of cash than in either of the prior 2 years’ first quarters, which are usually a seasonal use of cash. This operating performance was made possible by the progress the Welbilt team made on the transformation program over the last year by the cost containment actions we took in March 2020. On Slide 5, sales in the Americas increased 1.3% in the quarter from the prior year, with organic net sales increased 0.7%. Sales to QSRs increased year-over-year in the first quarter, driven primarily by an increase in non-repeating large chain rollout sales. We saw rollouts across our ovens, grills, hot holding cabinets, refrigerated prep tables and beverage equipment categories with multiple chain operators. The general market sales decreased in the quarter, but we did see continued momentum in the c-store segment. We remain very excited about the c-store segment. Other areas within the general market, such as casual restaurants, education, health care and travel and leisure end markets remained down in the quarter due to the impact from rising COVID cases but are starting to improve. We are beginning to see orders come in from the education market as they start preparing for their busy summer season. With the likelihood of almost all schools being open for in person learning in the fall and the funding provided by the American Rescue Plan Act in March. We believe sales of equipment into the education market will be strong over the next two quarters. Finally, KitchenCare aftermarket sales increased for the first time since the pandemic began as more professional kitchens are reopening and requiring service. Looking at EMEA on Slide 6, sales decreased 14.8% with organic net sales down 22.1%. These percentage decreases are generally in line sequentially from the fourth quarter. Large chain sales increased in the region as they were allowed to be ultimate for takeout and delivery, they began preparing for the eventual reopening of the region. Declines in the general market were larger than in the fourth quarter due to the continuation of many local dine-out restrictions and were implemented midway through the fourth quarter. Restrictions also impacted KitchenCare aftermarket sales with fewer professional kitchens opened during the quarter. On Slide 7, sales in APAC decreased 11.2%, with organic net sales down 14%. We had sales growth in China and Australia again this quarter as those countries are fully recovered from the pandemic. However, these countries represent less than 50% of our sales in APAC and the rest of the region is still seeing significant impacts from COVID with Southeast Asia, the Philippines and India being highly impacted. Moving to Slide 8, the progress we have made on our transformation program, once again, positively impacted our results this quarter. We delivered a little over $4 million of in period savings in the first quarter despite the rising inflation, which is a $16 million run rate. Absent inflation, we would have delivered in period savings of approximately $6 million and increased our run rate again, so we can still see new progress. Looking at various initiatives, our procurement team has implemented many new agreements with current and new suppliers and is continuing to work on implementing the remaining opportunities presented by RFQ responses, most of which are now going through the product qualification and testing processes. We continue to see savings from our procurement activities ramp-up in the quarter, which kept us positive when netted against commodity inflation that increased further in the first quarter. As Marty will discuss, we also have inflationary capitalized into inventory on the balance sheet, which will also be flowing on to our P&L. We will continue to see some inventory obsolescence and transitional costs as we shift suppliers along with the escalation of logistics costs. We are continuing to develop our onsite Value Analysis Value Engineering or VAVE initiatives for the RFQ process can provide the right solution for our businesses. These VAVE initiatives have identified additional savings opportunities to supplement the RFQ process and is a great example of how we are transforming the culture of our company into one that continuous improvement. We remain confident that we will complete our procurement activities close to our original time line, and the discrete projects themselves will deliver the targeted dollar savings. With the timing of realizing those savings will ramp gradually into 2022 as final qualification of materials is completed. And by which time, we are hopefully receiving pre-COVID volumes of lower cost materials. Additionally, in the near-term, we are seeing the inflationary impact from rising commodity, purchase components and logistics costs and expect these to increase in Q2 and Q3. But we remain committed to offsetting these pressures with the savings we are now generating through the price increases that we have initiated in the first quarter and have announced for the third quarter. We continue to make progress at the 7 North American manufacturing plants that are currently part of the transformation program has seen productivity gains emerge in not only these sites, but in most of our sites globally as we are deploying our lessons learned broadly to accelerate improvements. Some of these productivity gains have been substantial despite dealing with lower volumes and inconsistent production shifts that work against us in some facilities. These productivity gains have led to leaner operations and a smaller workforce. While recent volume improvements have resulted in the rehiring of some production staff. We anticipate additional productivity related headcount reductions continuing through 2021 as we complete our planned activities. We’ve taken delivery and installed some new fabrication equipment, and these investments will contribute more as they are fully integrated. We are working on two additional plant consolidations currently. One is in Shreveport, Louisiana, where we have had two plants to support our master and businesses. We are in the process of consolidating one of those plants into the other one and expect to have this completed in the next few months. We have also initiated the consolidation of manufacturing plan in the EMEA region and expect to complete this by the end of 2021. We expect to complete all the planned execution actions that will drive the transformation savings by the end of 2021. However, the timing of realizing the full savings will be delayed until sales and manufacturing volumes return to pre-COVID levels. We are in the process of ramping down the consulting spend related to the program and have lowered our estimate, the total cost for the program to now be between $70 million and $75 million. Since we have already incurred $70 million of these costs, there should only be small additional costs over the balance of the program. Before I turn the call over to Marty, I want to share some recent developments from some of our other strategic initiatives. I have shared a lot of details on our last two calls about our newest version KitchenConnect, launch of our new common controller and our strong position with the rapidly growing gross kitchen market segment. All these continue to be a focus for us, and we are seeing benefits from each. Today, I want to share some recent product developments related to our enhanced sanitation solution. On Slide 9, we are highlighting three new product offerings that we have recently announced and will be featured in today’s virtual trade show that begins after this call. The first product shown is the Merco Order Pickup Solutions powered by Apex. These are self-serve solutions that make a food pickup easy, contactless, to convenient for restaurants and their customers. We have a worldwide licensing partnership with Apex to manufacture and distribute these cabinets. Second new product feature is the AeroTherm Portable Air Purifier powered by Trotec. These units are scientifically proven to separate 99.995% of pathogenic viruses and bacteria for medium to large-sized rooms and then periodically expose the filter thermal decontamination to reduce the risk of recontamination during the filter changing process. This process has the benefit of regenerating the filter and extending its life for up to 3 years. AeroTherm also integrates a WiFi and Bluetooth-enabled user interface. So operators can see real-time air quality conditions to make adjustments based on these readings. By being portable, it can easily be moved into areas within a facility to quickly decontaminate additional rooms. Welbilt is the exclusive distributor of AeroTherm in the U.S. The third new product featured is the Nuovair Roll-In Blast Chiller. These blast chillers have the highest airflow rate in the industry and deliver a 25% faster cooling times to limit the opportunity for bacterial growth during the critical chilling process. These units allow for full-size racks to be removed from a Convotherm Combi Oven and immediately rolled into the Nuovair Blast Chiller. Welbilt is the exclusive distributor of these blast chillers in the U.S. and Canada. Common threat among these three new offerings is that each provides enhanced sanitation either through safer food, pickup, cleaner air in the kitchen or restaurant or improve food safety. These all provide significant benefits for our customers. They are also great examples of how well we can partner with innovative companies to bring new value-added products to market to supplement our internal new product development efforts. With that, I will turn the call over to Marty.
Marty Agard: Thanks, Bill and good morning everyone. I am going to start with Slide 10 and the discussion of our adjusted operating EBITDA margin results. The broad theme here is we are pleased to see our executional progress being able to widely cover the persistent pandemic related volume headwind and more recent commodity and logistics inflationary headwinds. At 15.7% EBITDA margin, we are 190 basis points ahead of Q1 last year and 240 basis points ahead of 2019. This progress is not just the procurement or productivity elements of our transformation program, though those certainly contribute, but broadly our execution on pricing, warranty improvement, SG&A reductions and more. So working from the Slide 10 specifically, volume, which we measure at the gross profit level, and it’s netted against the impact of net pricing, drove a decline of 20 basis points in the first quarter. This reflects the 6% decline in organic sales versus prior year, partially mitigated by positive net pricing as we had a partial quarter benefit from the KitchenCare aftermarket price increase that went into effect early in the quarter and our EMEA and APAC list price increases that went into effect the mid quarter. We expect to get a partial quarter benefit in the second quarter from the Americas list price increase that went into effect at the end of the first quarter. Material costs, including tariffs, were a 30 basis point positive contributor this quarter compared to the prior year. This is a reflection of the net savings coming from our transformation programs procurement activities, which are still ramping up but did fully offset rising commodity costs in the quarter. Inflationary pressures increased through the first quarter and are continuing so far in the second quarter. These are related to both vendor pandemic related operating constraints and logistics costs, particularly overseas, as we manage the supply chain inconsistencies. We expect these headwinds to be present and likely increasing through the next few quarters, but despite that, we believe our transformation program effort and our recent price increases will be effective in expanding our margins in 2021. Other manufacturing expenses, mainly labor, overhead and warranty were a 50 basis point positive contributor to margin. We continue to effectively flex our production expense to lower volume environments again this quarter. We have worked to minimize the head count brought back into our plants and are holding on to the productivity gains that we have made. Looking ahead, we are expanding the transformation program related labor strategies across our plants in 2021, expect volume and supply chain headwinds will turn into tailwinds. We have several more equipment upgrades planned over the next few quarters and we are executing the two facility consolidations, Bill mentioned. We remain encouraged by the organization’s urgency in this area. SG&A on an adjusted basis contributed 90 basis points towards margin improvement in the quarter. Like our actions within the manufacturing footprint, we also took early and aggressive action to contain SG&A spending as the pandemic impact emerged in March 2020. Many of those actions continue to contribute to lower SG&A costs and enable us to show favorability in most of the SG&A categories in the quarter as professional fees, marketing and travel expenses were all favorable. As a reminder, if you are reading the face of the income statement, SG&A includes the transformation program investments that are excluded from our adjusted operating EBITDA. You can track the specifics through the non-GAAP reconciliation schedules in our earnings release. Finally, FX provided a larger than normal benefit to our margin this quarter. Moving to Slide 11, free cash flow was a $21 million use of cash in the quarter. As a reminder, our free cash flow was traditionally a seasonal use of cash in the first quarter as we pay customer rebates and annual incentive compensation, build inventory and experience seasonally lower volumes. We then generate seasonally stronger cash flow in the remaining three quarters. Our performance in this year’s first quarter is a significant improvement from the first quarters of both 2019 and 2020 and is attributable to the earnings based improvements we have made, along with balance sheet and accrual related improvements. Working capital was a use of cash in the quarter, consistent with prior years, with higher receivables at quarter end due to our strong March and seasonal increases in both inventory and accounts payable. Overall, working capital remains well managed. Also impacting free cash flow is our investment program in both traditional capital spending and the transformation program. For the quarter, we spent $5 million in capital, down $1 million from Q1 last year. We continue to expect CapEx in 2021 to be more similar to 2019 spending levels with investments planned for equipment upgrades, facility investments, new product innovation and IT initiatives. The transformation program investment is reflected in both SG&A and restructuring. For the spend reported in SG&A, after the $2.2 million in Q1, we have spent $61 million since the program began in May of 2019. And combined with the transformation-related restructuring charges of $9 million since inception, we have now incurred approximately $70 million, and we’ve lowered the estimated total program cost from the original $75 million to $85 million down to the $70 million to $75 million range. We expect to finish the incremental spending later in 2021. Moving on to liquidity, which we define as cash and short-term investments plus availability on our revolver, we ended the first quarter with $354 million of total liquidity, a decrease of $21 million from year end, a well ahead of where we were at the end of Q1 of 2019 and 2020. In summary, we are very pleased with our free cash flow and liquidity performance since the pandemic began last March. Cash and cash equivalents plus restricted cash increased by $15 million during the quarter, while our overall debt balance increased by $37 million, accounting for the $21 million decrease in liquidity this quarter. We remain in compliance with the liquidity, EBITDA and capital expenditure covenants in our amended credit agreement with significant headroom. One last comment on our covenants, the leverage ratio comes back into effect at the end of Q2, and we will need to be less than 7.75x levered at that time, as measured by our credit agreement definitions. As you can see on the slide, we finished the first quarter at 7.1x and expect this to improve quickly with the improvements in this year’s EBITDA relative to last year, and we generated positive free cash flow. We expect to be in compliance with our covenants with sufficient headroom in 2021. Finally, I would like to share a few updated thoughts on 2021. We continue to believe that 2021 will show full year growth compared to 2020, including significant growth in Q2 that we won’t be back to 2019 or pre-pandemic levels in 2021. Similarly, with regards to our EBITDA margin, we expect to deliver meaningful expansion from 2020, but we currently don’t expect to reach the pre-pandemic 2019 level. We expect continued inflationary pressures to limit near-term margin expansion until we are fully benefiting from the price increases we implemented in Q1 and any additional increases we implement to mitigate inflation. As Bill stated, we remain confident the transformation actions are working. And on a project-by-project basis, we can clearly see the savings on materializing. We have a game plan for managing through the current inflation cycle to ensure we come out ahead, at least by Q3 in the balance of pricing and inflation, and the transformation program is on track to deliver our margin objectives in the quarters ahead when the program’s actions are mature and the market has recovered. That concludes my comments. As Rich mentioned at the beginning of the call, we will not be conducting a question-and-answer session today. With that, I will turn the call back over to Bill for his closing remarks.
Bill Johnson: Before we end today’s call, I want to reiterate my continued belief that Welbilt is a stronger company that is structurally leaner and more efficient than we were at the beginning of the pandemic or when we began our transformation program in May 2019. We will continue to focus on opportunities where we can use innovation and digital leadership to help our customers succeed and grow. We will continue to leverage our culture of innovation and customer service to win the battle for brand preference. We will deliver improved margins and much improved free cash flow as this crisis abates. This concludes today’s 2021 first quarter earnings call. Thanks again for joining us this morning and have a great day.
Operator: Ladies and gentlemen, thank you for participating in today’s conference call. You may all disconnect.